Operator: Welcome to the Eco Wave Power Second Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to your host, Aharon Yehuda. You may begin, sir. Thank you.
Aharon Yehuda: Good morning, everyone, and thank you for joining Eco Wave Power's Second Quarter Earnings Call. I'm Aharon Yehuda and I'll start with a brief overview of our financial results, followed by our CEO, Inna Braverman, who will provide an update on operations and strategic developments. Financial highlights of the first half of the year. Operating expenses for H1 2025 totaled $1.6 million, up by USD 239,000 from H1 2024. This increase reflects our continued investment in R&D, engineering teams and project execution, including our U.S. and Portugal projects. R&D expenses increased 25% to USD 399,000, driven primarily by our Portuguese project and strengthening our engineering department. Sales and marketing expenses decreased by slightly by USD 123,000, reflecting more efficient investor communication. General and administrative expenses rose 22% to $1.1 million, mainly due to payroll for new U.S. hires, professional fees and travel costs associated with project expansion. Other income nearly doubled to USD 62,000 coming from technology demonstration services in Asia. Net loss for the first half of 2025 was USD 1.9 million, reflecting growth investments and foreign exchange impact. We ended the period with $7.94 million in cash and short-term bank deposits, providing a strong foundation to fund ongoing projects and future growth. Despite significant progress across all project phases, our operating expenses have increased modestly, demonstrating our disciplined approach to scaling operations. We remain focused on delivering long-term value to shareholders while investing strategically in technology and global market expansion. I'll now turn the call over to Inna Braverman, our CEO, to provide insights into our project progress and strategic initiatives.
Inna Braverman: Thank you, Aharon, and good morning, everyone. I'm pleased to share our achievements during the first half of 2025, which is a period marked by rapid execution, strategic growth and expanding global presence. I would like to start by explaining our commercialization strategy. Our approach to commercialization of wave energy is multilayered, designed to advance technology, demonstrating value and scale responsibly. First, we are building pilot projects in key markets. These pilots allow us to collect site-specific data, conduct R&D and establish favorable regulatory framework, ensuring smooth entry into new markets while refining our technology for maximum performance. Second, we are advancing our Portugal megawatt scale project expected to operate with near continuous wave availability. This project will serve as a clear demonstration that in suitable locations, wave energy can deliver stable and dense renewable supply, complementing solar and wind and supporting grid integration on a large scale. Third, we are actively working on the reduction of the cost of our floaters, which is expected to lower the levelized cost of energy and allows to offer competitive pricing while delivering continuous electricity. By combining technological innovation with cost efficiency, we are positioning wave energy to become a mainstream renewable solution. Beyond traditional energy applications, wave energy has the potential to power intensive operations, including AI infrastructure and coastal data centers. By providing stable near continuous electricity, wave energy can support high-demand computing environments while reducing reliance on carbon-intensive sources. This highlights the versatility and strategic importance of our technology empowering the next generation of digital innovation. Turning to product updates. In the United States at it's Port of L.A., we completed the installation of the floaters and the onshore energy conversion unit for our first U.S. wave energy project. This is particularly exciting because we announced the co-investment agreement with Shell in April 2024, received the final license from the Port of L.A. in March 2025. And just 6 months later, the pilot station is fully installed. This demonstrates that Eco Wave Power executes projects efficiently while maintaining high technical standards. In Portugal, preparation continue for the first megawatt-scale project under our concession agreement. With wave availability expected to be approximately 90%, this project will demonstrate almost continuous energy generation, validating wave energy's potential as a reliable and dense renewable energy source. In Asia, our expansion continues with strategic initiatives in India and Taiwan. In India, we signed a memorandum of understanding with Fortune 500, Bharat Petroleum to explore wave energy deployment at Mumbai Oil Terminal. The collaboration begins with site assessment and regulatory preparations, laying the groundwork for a pilot project. In Taiwan, we are working with I-Ke International Ocean Energy, advancing local floater production and permitting milestones. I-Ke has already successfully passed the first round qualification for wave-energy tender, positioning us strongly for the next project phase. Back home in Israel, the EWP-EDF One project at Jaffa Port continues to serve as a key R&D and benchmarking site. Data collected here confirm that wave energy can generate significantly more power per site footprint than other renewable energy sources, providing an important foundation for global expansion. In Africa, we signed a feasibility study agreement with Africa Great Future Development. for a potential project in South Africa. With over 2,800 kilometers of coastline and pressing need for energy diversification, this market holds considerable long-term potential. We are also proud to participate in the Atlantic Wave Energy Sustainable Deployment Initiative, a EUR 2.45 million European project that will accelerate commercial scale wave energy adoption across the Atlantic region. Finally, I want to highlight our leadership strength. In July, Hilary Ackermann joined our Board of Directors with over 30 years of experience in energy and finance, including senior roles at Vistra Energy, Goldman Sachs and UBS. Hilary brings valuable expertise to support our global commercialization strategy and strengthen corporate governance. Overall, the first half of 2025 shows that Eco Wave Power is delivering on its promises, advancing pilots, completing installation, securing regulatory approvals, forming strategic partnerships and expanding globally. With our strong financial foundation of USD 7.94 million in cash and short-term deposits and a growing project pipeline, we are well positioned to bring wave energy into mainstream renewable energy market, delivering innovative, sustainable and high-value solutions for our shareholders and partners. Thank you for your continued support.
Operator: The meeting has now concluded. Thank you for joining, and have a pleasant day.